Operator: Thank you for standing by. My name is [Bailey] [ph] and I will be your conference operator today. At this time, I would like to welcome everybody to the EVgo, Inc. Q1 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] And I will now turn the call over to Heather Davis. You may begin.
Heather Davis: Good morning and welcome to EVgo’s first quarter 2023 earnings call. My name is Heather Davis, and I am the Head of Investor Relations at EVgo. Joining me on today’s call are Cathy Zoi, EVgo’s Chief Executive Officer; and Olga Shevorenkova, the company’s Chief Financial Officer; Jonathan Levy, EVgo’s Chief Commercial Officer will join us for the Q&A portion of the call. Today, we will be discussing EVgo’s financial results for the first quarter 2023 and outlook for the remainder of 2023 followed by a Q&A session. Today’s call is being webcast and can be accessed on the Investors section of our website at investors.evgo.com. The call will be archived and available there, along with the company’s earnings release and investor presentation after the conclusion of this call. During the call, management will be making forward-looking statements that are subject to risks and uncertainties, including expectations about future performance. Factors that could cause actual results to differ materially from our expectations are detailed in our SEC filings, including in the Risk Factors section of our most recent Annual Report on Form 10-K. The company’s SEC filings are available on the Investors section of our website. These forward-looking statements apply as of today, and we undertake no obligation to update these statements after the call. Also, please note that we will be referring to certain non-GAAP financial measures on this call. Information about these non-GAAP measures, including a reconciliation to the corresponding GAAP measures can be found in the earnings materials available on the Investors section of our website. With that, I’ll turn the call over to Cathy Zoi, EVgo’s CEO.
Cathy Zoi: Good morning, everyone. And thank you for joining today. What an exciting time for EVgo and for the EV industry overall. We believe we're participating in a once in a century sectoral transformation that is underway and unstoppable. As a market leader with a strong track record of delivery today, EVgo is looking forward to pursuing a plethora of value creating growth opportunities that lie ahead. Building on our strong 2022, EVgo started 2023 with a phenomenal quarter of growth in all core areas, stalls in operation, networks throughput, and revenue. In Q1, EVgo delivered over $25 million in revenue, representing 229% year-over-year revenue growth. Network throughput was 17.9 gigawatt hours, an increase of a 124% from the first quarter of 2022. And network throughput is growing significantly faster than electric vehicles and operations, demonstrating the leverage of EVgo's fundamental business thesis. EVgo increased stalls in operation or under construction to around 3,100 at the end of the first quarter, growing 48% year-over-year. We energized a record of approximately 220 new stalls in the quarter, a 69% increase from the first quarter of 2022. Utilization on the network is growing rapidly as well. The top 10% of EVgo stalls have utilization greater than 25%. And the top 20% of stalls demonstrate utilization of over 20%. California, taking its entirety across all metropolitan, corridor, and rural markets is state-wide utilization above 10%. We're seeing metro areas in Texas, Florida, and Nevada with double-digit utilization as well. [These] [ph] up into the right results from Q1, and those we reported on our last earnings call from the entirety of 2022 are a testament to the long-term opportunity at EVgo that you've heard us describe since it became a public company a couple years ago. Today, I'll lean into three key pillars supporting EVgo’s success. First, EVgo’s business model is leveraged to increasing EV adoption. When EV sales grow, EVgo’s business grows with it. Second, EVgo's robust market position is built on a foundation of value creating blue-ribbon partnerships with OEMs, governments, site hosts, and suites. These commercial partnerships continue to grow and expand. And third, EVgo’s technology leadership is charting the course for EV charging and EV ownership more broadly, creating the means for individual drivers fleet businesses, automakers, retailers, and governments to seamlessly be part of the transportation revolution that is upon us. First, let's talk about EVgo’s business model leveraged to the growth in EVs. The market for electric vehicles continuing to grow at a blistering pace. In 2022, there were 2.2 million EV’s in operation. And that is expected to grow to over 33 million by 2030, a 40% compound annual growth rate. Bloomberg's 2022 BNEF Reports predicted that more than half of all passenger cars sold in the U.S. will be EV by 2030. And I'll note, optimistically, that we've already exceeded BNEF’s originally EV adoption figures for the early part of this decade. As mass adoption of EV is underway in the United States, there is a need for more charging and more fast charging in particular. S&P Global has predicted that the U.S. would need approximately 170,000 fast chargers by 2030 and 8x growth from today. Apartment dwellers, high mileage drivers, such as rideshare drivers, and fleets are all going electric. And EVgo has found that even drivers who primarily charge at home rely on fast charging for day tripping, longer road trips, and even kilowatt hour top-ups while doing errands around town. Hence, the increase in utilization I referenced earlier that we're witnessing in a growing number of markets across the country well beyond California. We're committed to building this business in a manner that is sustainable and highly profitable for our shareholders. As you know, EVgo's core business is an asset ownership. We carefully invest in charging infrastructure where we believe it will deliver our targeted returns through ever increasing asset utilization. We operate a best-in-class public network and expanding that own network to new geographies that pass our rigorous investment hurdles. And we own and operate charging assets for a variety of suite customers. In addition, we apply our expertise in citing, building and operating charging infrastructure to accretive capital light business lines serving both retail and fleet segments. EVgo extends and our behind the fence offerings to fleets expand EVgo’s competitive position and broaden EVgo’s customer reach, while providing us with additional predictable recurring revenue streams as a builder, operator, and integrator, but insulating us from utilization risk in markets where we don't want that exposure. Building a business leveraged to rising EV adoption has proven to be a sound commercial thesis. Next, let's talk about the important pillar of partnerships to EVgo’s market leadership and financial position. EVgo has a long history in cultivating lasting business relationships with marquee partners that create meaningful commercial win-wins. On the OEM side, you've heard us discuss GM, Toyota, Subaru, and Nissan in particular. And the countless brand name retail partnerships like Target, Safeway, Kroger, Whole Foods, Home Depot, Lowe's, Chase Bank, and the recent addition Chipotle, where on-site fast charging creates foot traffic for brick and mortar stores and restaurants. EVgo’s partnerships with utilities and government funders are equally important financial contributors to our growth to date, and we expect them to continue to date. With respect to our current auto manufacturer partners, OEMs provide EVgo with capital funding to offset development costs. They create and pay for fast charging credit programs to attract EV drivers to EVgo, or they procure EVgo’s proprietary software solutions to enhance their EV driver experience. And with the OEM investment in EV’s on the rise, we're hopeful EVgo’s collaboration with the OEM will deepen further. GM, the number 1 U.S. carmaker in 2022, and one of EVgo’s landmark partners, is investing more than $35 billion in electric vehicles and autonomous vehicles over the next several years. In February, GM committed to producing about 400,000 EVs during 2024, a stepping stone to meet its goal of reaching annual production of 1 million EVs by 2025. GM has announced they will have 9 EV models available in the U.S. by the end of this year, including versions of the popular Chevy Silverado pickup truck, as well as the Equinox and Blazer SUV. Nissan accelerated its EV plans in the U.S. and committed nearly $18 billion to electrify more of its overall line-up. Nissan plans to introduce 19 EVs by 2030, an increase from its original goal of 15. They expect 44% of total sales will be electric by then. Toyota, building on their introduction of the fully electric bZ4X last year, is investing $35 billion in EVs globally. Similarly, Subaru, which introduced the Solterra last year, expects to offer several more EV models by 2025 as it continues to ramp its investments in electrification. With EVgo being leveraged to growth and EVs on the road, these are particularly exciting commitments from EVgo’s partner OEM. Another important area is rideshare. Where EVgo’s partnerships with both Lyft and Uber continue to deliver both network throughput and revenue, as well as positive environmental benefits to the communities in which drivers on their platform live and work. As we shared before, rideshare drivers are ideal customers for fast charging. A rideshare driver typically drives more in a day than most people do in a week. And may need to be able to charge fast so they can get back on the road. With such a user profile, we see Uber and Lyft drivers increasing utilization on our network significantly with Q1 throughput more than tripling from a year ago. Both Uber and Lyft are great partners and are heavily marketing the benefits of EVs for both their drivers and their riders. Uber's Comfort Electric option is now available in nearly 40 cities throughout North America, an important step in the company's effort to reach an EV only [fleet] [ph] by 2030. Likewise, this is helping drivers make the switch to EVs, offering a cash bonus for drivers who offer at least 50 rides using a qualified EV. Site hosts are also important partners at EVgo. We provide the charging. Our site hosts partners offer great amenities while a driver charges. And our relationships with these marquee partners are deepening. Through our sophisticated network planning tool, EVgo has identified literally thousands of locations across America where shareholder value could be created if EVgo builds a fast charging station at that partner site. Earlier today in our earnings release, EVgo announced we had entered into a new agreement to expand our collaboration with Chevron, first launched in 2015 to develop EV charging sites in major California markets. EVgo will now offer Chevron and Texaco locations across the U.S. turnkey fast charging solutions with a variety of ownership models, including EVgo eXtend. There are more than 8,000 Chevron and Texaco retail stations across the U.S. that will have access to EVgo’s expertise and solutions, including fast chargers up to 350 kilowatts. Under the agreement, EVgo will provide hardware, design, and construction of charging at these sites, as well as operations and maintenance, networking, and software solutions. Chevron and its independently owned retailer and marketer network will also be well-positioned to take advantage of the funding available through the government's National Electric Vehicle Infrastructure or NEVI program. With Chevron as the latest example of a deepening retailer partnership, EVgo is excited about the opportunity to bring more convenient fast charging options to EV drivers wherever they need to be. And on fleet, the deepening of partner relationship is again the theme for this quarter with additional sites added by two of EVgo's current fleet partners. MHX, a class 8 truck, and a national food and beverage company are each building their second EVgo dedicated fleet charging site with each also using EVgo Optima as their fleet management software. While it's still early days in fleet electrification, we're excited to have EVgo’s business grow alongside the EV investments fleet operators are making as more vehicles become available to them. EVgo’s partnership with government policy makers is critical to our success as well. And the federal government recently announced it is taking more bold action to spur even faster growth of electrification. On top of the investments under the Bipartisan Infrastructure Law and the Inflation Reduction Acts, that we discussed on our last earnings call, In April, the Biden administration announced a tighter overall regulatory framework for the auto industry, including new vehicle ignition standards through 2032. Once the new emission standards are in place, the [EPA] [ph] estimates that EVs could account for 60% of all new passenger car sales by 2030 and 67% by 2032. Notably, this would surpass even [BNEF forecast] [ph]. Now returning to the $5 billion in federal funding through the NEVI program that I just mentioned, the latest is if this particular tailwind is more like a tale breathes at the moment, directionally terrific, but moving more slowly than originally indicated by government officials. The status is this. No states have made NEVI awards yet. Several states have released RFPs and are reviewing proposals from EVgo and others. And the vast majority of states haven't yet to lift this [approval] [ph] from the industry, partially because the state's original program [decides] [ph] needed to incorporate the final program guidelines and by America requirements that the federal government issued in February. Notwithstanding the current time lag, however, EVgo remains excited about the potential to apply NEVI funds to both owned assets and stations deployed under EVgo extend. With the majority of financial benefits likely to be realized in 2024 and beyond. Similarly, we remain enthusiastic about the opportunities for the expansion and extension of 30C tax credits under the IRA. But while new guidance for the consumer vehicle tax credit has been issued, the IRS has not yet issued any further implementation guidance for the 30C in infrastructure tax credit. The industry is eagerly awaiting treasury's guidance. And finally, let me turn to the third pillar of EVgo's success technology innovation. We've been a technology leader in the EV charging space, and innovation continues to be an important differentiator for EVgo creating value for drivers and for deepening and widening our own competitive modes. I need to think about it. Now, that we can all do one click ordering on Amazon or cashless car service with an app or electronic boarding passes when we fly, it’s sometimes hard to remember the olden times really less than 10 years ago when we had to place orders by phone or get cash from an ATM or stand in a long line at the airport to get a paper boarding pass. The EV industry is young, and our aim at EVgo is to make the easy charging experience as seamless as one-click ordering. This requires a highly sophisticated approach to our own technology. While we don't manufacture the charging hardware, we painstakingly specify the attributes of each charging product we deploy, undertaking rigorous premarket testing in our lab related to charger performance, interoperability, and reliability. In fact, a couple of weeks ago, EVgo hosted research leaders from a number of the Department of Energy's National Laboratory for a detailed run through of the anatomy of a charging session and the industry-wide imperatives for creating uniform reliability and enhanced customer experience. As you've heard me say, EVgo's fast chargers are complex machines that run hundreds of thousands of lines of code, and connect in real time to our network management platform and customer facing applications, which in-turn run millions of lines of code and integrate dozens of additional platforms across the EV ecosystem such as payment processing, industry enrollment partners, and EV OEMs, the correct functioning of all of which is essential to creating an exemplary customer experience. Practically speaking, EV charges close to 50 different models of EVs on our network today, each with its own unique charging behavior governed by battery performance and software. A technology marriage has to work not just between EVgo’s charging hardware and full software stack, but also between our EV chargers and the hardware and software of the EV itself, and between EV chargers and driver's cell phone, and between EV chargers and utilities delivering the electricity to the chargers and between EV chargers and site host retailers and between the EV charging networks with whom we interoperate. In EVgo, we welcome these demands, and in fact, we've upped the [anti] [ph] looking beyond basic functionality. We created auto charge plus so the drivers can charge their car without swiping a credit card or tapping an app. We built EVgo reservations so a driver can be sure, a charger is available when they need one. We built EVgo inside so that OEMs could help their customers find the closest charging station in the dash of their EV. We built Pay with PlugShare to both find chargers and help manage charging, which we are currently piloting at all of EVgo's chargers in the LA area. We've partnered with Amazon, so that a driver will soon be able to ask Alexa to help them find a charger. And we built EVgo Advantage to give drivers special deals while they charge. And today, announced the latest offering here, entering into a new agreement with Audible to bring trial memberships to EVgo customers later in 2023 delivering audiobook to EV drivers while they charge. From deploying the first 350 kilowatt charger in the U.S., the pioneering power sharing technology to where we are today, EVgo is setting the benchmarks of what the EV driver experience should be and what our B2B partners will count on when serving their EV driving customers. With innovation in our DNA, you can bet there's more good stuff to come. With that, I'll turn the call over to EVgo’s CFO, Olga, to give more detail on first quarter results.
Olga Shevorenkova: Thank you, Cathy. EVgo continues to build on our track record of growth and execution in the first quarter of 2023. EVgo added about 220 new [stores] [ph] to our network during the quarter. Install an operational under construction were approximately 3,100 at quarter-end. Both active engineering and construction stall development pipeline ended the quarter at around [$3,500] [ph]. First quarter revenue of $25.3 million grew 229% year-over-year. This significant increase in revenue was primarily driven by continued execution of our EVgo eXtend contract Pilot Flying J in partnership with General Motors and growing charging revenue. Adjusted gross margin declined from 37.2% in the first quarter of 2022 to 25.3% in the first quarter of 2023, due to accelerated revenue recognition of regulatory credits in Q1 2022 and LCFS pricing this year. Adjusted gross margin of 25.3% in the first quarter of 2023 improved versus the fourth quarter of 2022 due to annual breakage revenue recognition in the network revenue OEM business line of approximately 2.1 million.  Adjusted G&A as percent of revenue declined from 273% in the first quarter of 2022 to 105% in the first quarter of 2023, illustrating the leverage EVgo continues to realize with investments in G&A, both administrative and gross driven payroll and non-payroll investments. We reported adjusted EBITDA of negative $20.1 million in the first quarter of 2023 versus negative $18.2 million in Q1 2022. Cash, cash equivalents, and restricted cash were $163.8 million as of March 31, 2023. CapEx was $65.2 million during the first quarter as EVgo continued to execute against our long-term charge of deployment plan, roughly [50%] [ph] of this number was driven by equipment prepayments and delivery for the rest of 2023 needs. Such CapEx levels are not representative of this year's quarterly run rate. In April, EVgo raised $5.7 million in net proceeds by issuing approximately 890,000 shares of Class A common stock turned at the market equity offering. We anticipate using the ATM opportunistically going forward, and we have 183.5 million of capacity remaining under the ATM program. Now, looking at network trends in the first quarter. As auto manufacturers release new models of EVs and ramp production, electric vehicles, and operations, or – increases steadily, driving EVgo revenues as EVgo's business model is centered around the leverage to the adoption, as Cathy mentioned. At the end of 2022, there were 2.2 million EVs in operation, and it is estimated that during the first quarter of 2023, this climbed by another 300,000 EVs to 2.5 million overall on the [U.S.] [ph]. EVgo’s network throughput continued to significantly outpace our operational stall growth and EV VIO growth. Total kilowatt hours dispensed were 17.9 million, a 124% year-over-year increase compared to operational stall growth of 33% and EV VIO growth of 53% over the same time period. This is driven by an increasing contribution of rideshare traffic on our network. As a reminder, an average commuter drives 11,000 miles a year, an average rideshare driver drives 40,000 to 60,000 miles a year when driving full-time and relies much more on DC charging. Network throughput also rose as a result of increased EV battery sizes and higher reliance on public charging by our newer retail customers versus early adopters who relied mostly on home-charging. Average monthly throughput per active customer has increased by more than a third over the last 12 months. EVgo markets with high EV adoption rates continue to demonstrate solid utilization levels. California shows consistent double-digit utilization with Los Angeles being the top market and posting 14.4% utilization in Q1. Nationally, key markets in Texas, Florida, and Nevada are among Top 10 performers with consistent double-digit utilizations as well. When looking at top performing stores on EVgo network, all-in high EV adoption rates markets we're clearly observing that they are already in-line with our long-term per-stall annual revenue targets. Average revenue per-stall is expected to further increase driven by high utilization with more EVs on the roads and higher charge rates of the EVs themselves. When taking a look at top 10% stall and top 20% stall measured by utilization on our whole network. As Cassie mentioned, we're observing consistent utilization in excess of 25% and 20% respectively, clearly signaling potential for additional markets to realize such levels with increasing EV adoption. The average charge rate realized that EVgo size is increasing due to improving battery capabilities of the EVs and EVgo’s ongoing efforts to switch to higher powered equipment. These higher average charge rates on our network mean more kilowatt hour dispensed every hour when somebody is charging, driving profitability of [our projects] [ph]. Average network charge rate is poised for an increased over time, further driven by new vehicles with bigger batteries coming online. Such network trends are reinforcing our thesis on the business being leveraged to easy adoption and proving the advantages of our scalable business model underpinned by attractive public network project economics. As a reminder, we deployed capital following rigorous investment criteria and underwrite our portfolio to robust double-digit pre-tax unlevered IRRs. With the assets deployed in the next 24 months, we expect our CapEx per-stall to be between 130,00 and 150,000 with roughly 60% of it being labor and materials and the remainder being equipment with an 8 year to 10 year useful life assumed. Useful life range depends on the type of charges deployed and the site type. CapEx per-stall is anticipated to decline as we near 2030, driven by the industry lowering curve on the equipment side. Upsetting the capital cost is funding from partner automakers and/or grant funding at the local, state or federal government level. As it's central to our business thesis and the commercial opportunity in front of us, EVgo plans to continue to grow our public network as EV Adoption and [indiscernible]. The upshot is that when there are 40 million electric vehicles on U.S. roads, EVgo expects to operate 25,000 to 30, 000 public stalls, all underwritten to our internal profitability hurdles. As we discussed during our last earnings call, the public network is our core business and is expected to contribute 75% to 80% of easy go revenues over time. Our fleet hub, eXtend, and ancillary businesses will remain natural and accretive compliments to our core business model provides an optimal risk return profile to EVgo. EVgo is affirming our full-year revenue guidance of $105 million to 150 million and adjusted EBITDA of negative $78 million to negative $60 million. We expect to have a total of 3,400 to 4,000 DC fast charging stalls in operation on the construction at the end of 2023. As a reminder, this metric includes PFJ stalls. Given the variability of revenue recognition timing of several of our large partner agreements, we anticipate some sequential fluctuations in revenue. In particular, on the eXtend revenue line. For the second quarter 2023, our network throughput is increasing, compared to Q1, and we expect sequential revenue growth in our core charging business throughout 2023. With this, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question will come from Gabe Daoud. Your line is open.
Gabe Daoud: Thanks. Morning, Cathy and Olga, and everyone. Thanks for all prepared remarks. I guess, was hoping we can maybe just revisit some of the comments around CapEx and how 1Q is not really representative of the quarterly run rate. So, maybe, Olga, could you just help us understand how that trend's moving forward? And then also, what does that mean to [2024] [ph], you know, you're not prepaying for as much equipment this year given the step down in in capital?
Olga Shevorenkova: Yeah. So, that's a good question. Thanks so much, Gabe. So, let me start from the start. We already paid roughly $70 million for 2023 assets last year. We just spent 60 million, a little over 60 million for the first quarter this year. Most equipment which were prepaid will be used for 2023 assets, some of that equipment will be used for 2024 assets. So, there is a mix, obviously, heavily loaded towards 2023 usage, but there is a 2024 user. So, the CapEx, the quarterly CapEx is expected to go down. However, that does not mean that we will not be preparing for 2024. We will. We will start doing it in Q3 and Q4. And we will land the year with assets under construction online with our 2024 expectation. So, we're not worried about that. And even, again, those are quite large amounts we already spent for 2023 assets, and you can judge by looking at first quarter and how much was spent on them last year. So, it all makes sense for us. It all is positioning us for the optimal cash spend and the optimal start of 2024 in terms of targeted stalls and operation.
Gabe Daoud: Got it. Thanks Olga. That's helpful. So then, again, I guess, the 164 million or so on the balance sheet that's enough to get you through the 2024. Is that right?
Olga Shevorenkova: So, the majority of 2024. Correct. So, the same guidance we gave or the same notion we gave in our – during our last call, that's enough cash to stretch through the majority of 2024.
Gabe Daoud: Okay. Understood. Great. Thanks. And then just a quick follow-up. You mentioned, Cathy, the NEVI, maybe being a tail breeze and maybe being a bit slower than anticipated, but could you maybe just given some of the Buy America compliant issues around the hardware and can you maybe give us an update on where your suppliers are in that respect in terms of onshoring some U.S. production? Thanks, everyone.
Cathy Zoi: Yeah. Thanks, Gabe. So, we'll look – our two suppliers that we talked about last time on the Delta and Signet have factories underway and every indication is that they're supposed to be ahead and that's all going to plan. We should have more specificity for you probably by earnings call about the guidance. We're still waiting for some guidance from the Department of Transportation, the Federal Highway folks on certain of the Buy America provisions.  We've also got again, Jonathan Levy, our public policy experts on the phone, Jonathan, did you want to add anything?
Jonathan Levy: I guess just that last point, Cathy, you were making, is that FHWA has indicated to a number of policy folks that they're getting a lot of questions about their Buy American guidance, and therefore they're planning on issuing an FAQ at some point soon. So, we've been very engaged with folks in administration about the, kind of unintended consequences, as well as the practical realities of Buy America as currently done. As Cathy has noted in every forum, we've been working with our suppliers to the U.S. manufacturing for a long time, and so we're still working, you know, seriously with them. But in the meantime, there's some clarity that we're expecting to hopefully come soon from the federal government.
Gabe Daoud: Got it. Got it. Thanks, Jonathan. Thanks, everyone.
Operator: And the next question comes from James West. Your line is open.
James West: Hey. Good morning, Cathy, Olga.
Cathy Zoi: Good morning.
Olga Shevorenkova: Hi, Jim.
James West: Hey. So, Cathy, or Olga, what's the gating factor now in terms of your build-out of additional infrastructure in additional stalls? Is it capital? Is it the utilities? I know you don't want to be too far ahead of the, you know, of the vehicles arriving, but kind of what's the – what are the, if you could push it harder and go faster, you know, what could hold you up from that or why would you not push it harder, I guess?
Cathy Zoi: So, just to your point about the utilities, the utilities are a – they continue to be a near-term [gating item] [ph], but it's almost like a predictable gating item now. So, we had – last quarter we had a couple hundred of waiting utility energization. And again, as I think I've said before, James, I mean, that's just a matter of time whether, like and some of them have been waiting for the utilities to show up to do the final inspection for six weeks, but they eventually will show up. So, that's not a near-term gating item. I mean, we got a macro tailwind in the sector that is obviously pushing up into the right as you [told me] [ph] probably many, many times. We have identified thousands of perspective stalls that'll create [indiscernible] for us with our partners. One of the reasons I lean so far into our marquee partnerships at EVgo is that they continue to bring us good prospects. So, over the next five years, yeah, we could put more good capital to work, but at the moment, we've got a great plan to continue to build and go up into the right for [2023] [ph] and we got the capital together through – all of 2023 and most of 2024. So, it's just really a question of how fast do we want to lean in to be, kind of going at the right pace given the macro, the macros of the overall economy.
James West: Okay. Makes sense. And then I know you've been testing a lot of different pricing strategies over the last several quarters. I was curious how that’s been going. I know, you know, lower pricing at off peak times, things like that. Could you maybe update us on how those plans are progressing? And kind of what you're seeing in terms of customer behavior?
Olga Shevorenkova: Yeah. Sure. So, what we're seeing is on the customer behavior, is a very strong affinity to our subscription plan. So, we have three different tiers and continue to, kind of experiment, because the subscription plan usually doesn't just include actual subscription plus access to cheaper per kilowatt hour rate, but also some other perks like double amount of points or free reservations. So, we continue to experiment with those [indiscernible], but we see a very strong uptake on all three different subscription types we have. So that means subscriptions are here to stay and will be an essential part of our business going forward. And on, in terms of the time of U.S. rate, we clearly observe and that our more customer sensitive segment oh, sorry, more price sensitive customer segments such as rideshare, they're very, very reactive towards those signals, and we see how they altering their behavior to show up at our network at cheaper times. However, when we're looking at kind of, like, daily commuters. We don't – we see some response depending on locations, and then there is a wide range of maybe more affluent locations across the key cities where customers are just not as price sensitive as we originally thought. So, all of our [indiscernible] remain true, and we continue to define those in our Chief Revenue Officer who joined us a few months ago, that's one of the main area of her focus to spend a lot of time on it. So, we'll be updating the market as we learn more interesting insights from that.
James West: Okay. Got it. Thanks.
Operator: The next question comes from [Doug Becker] [ph]. Your line is open.
Unidentified Analyst: Thank you. So, the record number of installations was highlighted during the quarter. You just addressed some of the gating items, is it reasonable to assume installations increase each quarter over the course of the year, based on what you're seeing today?
Cathy Zoi: We've got a plan for – we've got a plan that is probably relatively stable over this year in terms of numbers that are going to go live. So, the practical reality is that it always bounces around a bit. It's like, the gating item of utilities, it's nearly impossible for us to predict which utility inspectors are going to show up and which regions of America and which won't. So, we've got a general plan. We know what, you know, we've got the target for the full-year that we're confident of hitting, that might just bounce around a little bit as we go through the course of the year.
Unidentified Analyst: Completely makes sense. And then the follow-up, kind of a pointed question, but consensus revenue is toward the high-end of the full-year guidance range. Is that reasonable based on everything you're seeing and particularly in-light of your commentary on the NEVI program and just the volatility with the PFJ that you've alluded to previously?
Olga Shevorenkova: Yeah. We won't be refining our range at this time. We guided the market only a few weeks ago during our Q4 call. Not much of our new information has come in since then, but we probably next time we speak, we will have a more refined strategy to inform the market on how the rest of the year will look like and everybody can judge vis-à-vis [indiscernible], but at this time, we will remain committed to our wider range, kind of repeating all the reasons we explained last time in terms of [PFJ execution] [ph], and some spill volatility on EV sales front. EV sales started off the year quite strong. We don't see any recession signs, but we're observing. We're still not even halfway through the year. So, this time, we won't comment on a more narrow range of our guidance than we already gave.
Unidentified Analyst: Fair enough. Cathy, all good. Thank you.
Cathy Zoi: Thank you.
Operator: Your next question comes from Bill Peterson. Your line is open.
Bill Peterson: Yes, hi, good morning, and thanks for taking my questions. You saw the EVgo team at ACT EXPO last week and I'm sure you had a number of conversations with fleets, but I guess specifically, are the fleets really focusing on the eXtend offering or they more like your rideshare and autonomous vehicle partners that maybe prefer to use your own owned and operated network?
Cathy Zoi: Yeah. I'm going to toss that one to Jonathan. Jonathan?
Jonathan Levy: Yeah. It's a great question. But I think when we think about the eXtend offering, we typically think about it as a white label offering for retail, but you can think of the same kind of logic the flexibility that EVgo has for our fleet offerings. You're very familiar with what we do with Uber and Lyft where they access our public network, but we also have the flexibility on where is it that we own chargers the customers operate, some of the customers use, sometimes the dedicated stations like we've been doing with the autonomous vehicle fleets, But most of the folks looking to electrify their depots in the fleet space, they're looking to own the charging themselves. And so, that is a little bit more like an analog to that extend business model. And I think some of that is driven by the incentive structures. A lot of the fleets doing early pilots are pursuing funding for those projects, which gives them an incentive to buy it, whereas we do know there are some others out there that will have more of an interest of more of a charging as service offering that EVgo also has where we retain ownership and the customers then can get more of a monthly fee model. So, I hope that answers the question. The concept [indiscernible] there's different solutions for different fleets, but the majority of the depot fleet operators are looking to own that charging themselves at this point. [Multiple Speakers]
Cathy Zoi: Sorry. Bill, I was just going to add, like, we've got a couple of contracts with the autonomous fleet guys, where they want, where we own the assets. So, again, it's what we said, sort of continuously that we will meet the customers where they are as long as we can create a nice return profile for EVgo commensurate with the risk that we're taking. So, and so far, you know, we can do the [a la] [ph] extend behind the fence with some place, and we can do the asset ownership model with others.
Bill Peterson: Yeah. Yeah. That's exactly the question. Okay. That makes sense to me. Second question, so you talked about utilization and Los Angeles being the highest market, if you can give us a feel for where that is and maybe look in heaven, like, where would you want utilization to level out at? Would you prefer to drive it higher in LA, for example, or would you want to kind of keep awareness and just kind of add sites to kind of match the growth of cars in the market? Just trying to get a feel for how you – especially around the pandemic where you would like the utilization to be ideally to not trade too much friction, but obviously give you the best return?
Olga Shevorenkova: Yeah. So, Los Angeles is, I mentioned that during my prepared remarks, it's a little over 14% for the Q1. It is one of our best performing markets. In terms of where we want utilization to be, over time, we think mid-term when we're underwrite assets, of course, we want it to be higher and we already observe high utilizations in certain [pockets] [ph] of our network, like, top 10% of our performance stall, consistently illustrate utilization, and access of 25%. So that's probably a good indicator where the overall network can go over time. Now, when we think about near term, here our focus is on growing the network and growing the throughput on the network. There could be some near term fluctuations in utilization, well, let's say there is a quarter when we build a little faster than this throughput has grown. Now, that wasn't this particular quarter, but that quarter can happen. And that is okay with us. So, in the near term when the network is still small and we're really focused on positioning for upcoming growth. You could see some fluctuations. Mid-term to long-term, we, of course, are very much focused on growing utilization and expect that all of the key markets will start showing high utilization levels in the next few years in a consistent basis.
Cathy Zoi: Yeah. And Bill, I just remind you that we have, like, in the early days of the [NEVI Program] [ph], we had some charging stations out right in the Bay Area where you live, which had over 60% utilization because of rideshare drivers. Now, that was a lot. But one of the reasons that we have pioneered both the innovative pricing schemes to sort of attract people to off peak hours and the reservations is if it that there is not a – it's not as if we want to stop utilization at 20%, right? So, we what we want to do is enable the tech that you – the assets to get used optimally by using technology to allow people to go when they want to go, be sure that a charge is going to be there.
Bill Peterson: Yeah. Makes a lot of sense. Thanks for the color.
Operator: The next question comes from Maheep Mandloi. Your line is open.
Maheep Mandloi: Hey, good morning, Maheep Mandloi from Credit Suisse. Thanks for taking the questions here. Could we get some more details around the arrangement with Chevron and the eXtend business with that? I think most of the Chevron gas stations of the 8,000 are owned by small retailers. I just want to understand how would you, kind of or what would be the go to market strategy there and any exclusivities on EV charges for that network? Thanks.
Cathy Zoi: Hey, Jonathan. Why don’t you do it, since you are involved in it?
Jonathan Levy: Yeah. Happy to. And thanks for the question, Maheep. I think the way to think about this to start is, this is a master service agreement with Chevron, right? So that puts us in the position of when those retailers want to do maybe charging. We can be that first call, but there will need to be individual agreements executed with them on top of that. And additionally, you should think of it as an opportunity for Chevron and Texaco retailers to be either EVgo Site Host or be able to leverage EVgo eXtend. And that's actually a pretty sizable denominator then obligations that could add charging either directly through EVgo ownership, especially as we see the ones that are along NEVI corridors might be a really good fit for those public funding opportunities.
Maheep Mandloi: Got it. And any thoughts on when we could expect the first deals with the retailers?
Jonathan Levy : I think it's going to depend on those individual retailers. And you rightfully pointed out that those are independent operators. And so as a result, those are going to be some subsequent conversations underneath this master site agreement that we're working together on.
Cathy Zoi: But just to add a little bit of color, Maheep. It's one of those things that this Chevron – the expansion of our Chevron relationship arose in part because of those franchisees are excited about the next frontier, which is providing fueling for EV. So, it's not as if we need to go door knocking for and making cold calls to these gas station owners across America. They're excited about it.
Maheep Mandloi: Got it. Got it. And then this would…
Jonathan Levy: Yeah. That's a great point, Cathy. One of the things that I talk about is the fact that, you know, a couple of years ago, the National Association of Community Stores and the Fuel Institute we're doing a lot of information gathering, but weren't very excited about EVs and now you can't go to any other conferences without it being mainly about the excitement about EVs, EV charging, the importance of accessing that demographic as a huge growth and valuable audience for them.
Maheep Mandloi: Right. Then moving to the second question, there's some cash needs here. We saw an ATM issuance this quarter or [indiscernible]. Just trying to understand how to think about that through the rest of the year. Given all the things you talked about, CapEx plans and prepayments and extend and maybe over here? Thanks.
Olga Shevorenkova: Yeah. We're using ATM opportunistically. We – last quarter, we didn't raise that much as the trading window was quite short considering the 10-K file and happens a little later in the quarter. So, and then we obviously limited on the use of ATM with the daily volumes. But again, we'll access it opportunistically. We'll access any other form of finance, you know, capital opportunistically as well. So, we'll – I'll leave it as that, Maheep.
Maheep Mandloi: Well. Thanks, Olga. I'll take the rest offline.
Operator: The next question comes from [indiscernible]. Your line is open.
Unidentified Analyst: Hey, Cathy, Olga. Thanks for taking the question. I appreciate at the outset, all the commentary about utilization and throughput and some of the drivers there. I'm curious just because to your point, Cathy, we're sort of in very early stages of Uber offering, Comfort Electric, and I think still, sort of coming out of the COVID era of people not doing rideshare in the first place, where would you say we are, sort of in the stage of that piece of your, sort of network picking up? And also curious, I think Olga, you mentioned the acceptance rate on EVs driving higher revenue per stall or per server charging session as well. We're definitely seeing that EVs can clearly take a lot more charge than they used to. Curious if you can unpack sort of those two drivers a little further and where you think we are in the process of those things ramping up? Thanks.
Cathy Zoi: Thanks. Yeah. On the Uber Lyft stuff, we we're absolutely in the early innings. I mean, both Uber and Lyft have committed to going all electric by 2030. In their fleets, and [indiscernible] Jonathan, do you happen to know what percentage is single-digit percentages that are EVs now with them? So, it is very, very early days. So the fact that we've tripled, you know, year-on-year from this last quarter to the previous year, it’s a great sign. I mean, the Uber and Lyft drivers charge 7x more and they need fast charging than a regular retail driver. So, we're really, really excited about that one. Olga, why don't you take the second part?
Jonathan Levy: Well, I'm sorry. Before you do, the thing that I think is fascinating is the fact that Uber and Lyft both made that 2030 goal. And both of them right now, they're on pace to hit it by 2025. And I think you take that. You just suppose it with the regulatory drivers, especially in California for more zero emission passenger miles traveled. And it's a great opportunity even though it is early days to continue to see growth in that segment.
Olga Shevorenkova: Yeah. And on the charge rate, which you refer to acceptance rate, we refer to the charge rate. It's for everybody on the call, it's a pace with which the car can accept kilowatt hours flowing into its battery. That is increasing absolutely in-line with our expectations. We're doing very detailed modeling, looking at all the upcoming models and projecting vehicle mixes, and then [into lane] [ph], it was our network kind of trying to discern what charges we will be exhibiting, and we are definitely in-line with what we were expecting, and we are pretty confident that number will continue to go up with new models being introduced into the market. And also, newer models becoming a majority of vehicles driving around kind of displacing the older vehicles which are much slower. So, very great trend, and we'll continue to ride it at EVgo going forward.
Unidentified Analyst: Got it. Appreciate the color. One just quick housekeeping, I guess, you know, question for me. Just as far as the pipeline, I know that does tend to move around a little bit as far as the active development pipeline, but narrowed in this quarter versus last, I'm just curious if you can help us frame like exactly how that's defined, why it's narrowed in. I know some others we’re asking, as far as your, sort of, you know, [indiscernible] rate or how you look at future investment and if that's at play, but just if you can help as far as why that moved in quarter-over-quarter?
Olga Shevorenkova: Yeah. So, our pipeline, ever since which has high probability to be billed, everything which is green lighted and a little bit before green lighted has highlighted was supposed to be green lighted by our internal hurdles, is included into the pipeline. That pipeline is quite large as you could see, that's [3,500] [ph] stalls and that's on top of stalls and operation under construction. So, all of those stalls are the stalls we need to develop over time. And right now, the focus is on execution and construction versus increasing the pipeline. We think the pipeline is very strong for the upcoming, you know, year or so. And that's why you'll probably not see as much of a pipeline growth versus you should expect to see more stalls going operational.
Unidentified Analyst: Got it. Appreciate the color. I’ll take the rest offline. Thanks, guys.
Operator: Next question comes from Andres Sheppard. Your line is open.
Andres Sheppard: Hey. Good morning, Cathy. Good morning, Olga. Congratulations in the quarter and thanks for taking our question. A lot of my questions have been asked. Maybe I want to touch on liquidity for a second. So, 164 million roughly in liquidity versus about 247 million in Q4 of last year. It's about an 80 million, I guess reduction in cash. I just want to better understand so, you know, funded through the majority of 2024. Help me connect the dots. I mean, are we including – you know, the opportunistic ATMs throughout the year? Are we including NEVI funding in that assumption? I'm just trying to get a better understanding on …?
Olga Shevorenkova: Sure. So, Q1 burn was roughly, a little over 80 million as you correctly pointed out. What I would like to emphasize are the operational burn was only 19 million, and the rest was what capital expenditure of 65 million. And that 65 million, as I already mentioned earlier in the call answering Gabe’s question, that not nearly half of it is equipment prepayment for the rest of 2023 equipment needs and actually some of the 2020 [indiscernible]. So, you should expect that capital expenditure number not to be the run rate for the rest of the year not to be in line with Q1, but actually to be lower. So that I think kind of will help you connect the dots a little bit. And on – we do not include ATM as part of our cash plan, and that is, kind of cherry on the cake. It's on top. However, regarding the funding, and when we talk about the funding, NEVI is only one of very many sources of funds, and EVgo is accessing. We've been in a grand game for many years now and been accessing municipal level grants and state grants for a while. We’ll continue to do that. Specifically, NEVI, as Cathy mentioned in her remarks, we don't expect much of an inflow of NEVI funds this year, we probably see it next year, but we do expect a lot of other brand programs influence flowing in into the EVgo this year. And also, let me remind you that we have an agreement with General Motors where for every store we put in operation, they pay roughly $33,000 to us, which they already did in both Q4 and Q1 and continue to do it as well. That's another cash inflow, which is available to us, and it's part of our cash plans.
Andres Sheppard: Got it. Okay. Thanks, Olga. That's very helpful. So, in other words, the cash burn should be significantly lower for the remaining of the year given that the majority, like you said, was on the CapEx side and that accounts for the majority of this year and some into next year. So, the operational [cash burn] [ph], perhaps will be similar, but overall cash burn should be significantly less than what it was in Q1, if I understood that correctly?
Olga Shevorenkova: Correct. So and that's – so let me just also clarify something. So, the CapEx is roughly half-half on, now maybe a little 40%, 45% equipment, 40%, 45% equipment; 60%, 65% labor. So, when I say that we prepaid most of the equipment, we haven't finished on the labor site. We need to put stalls and operations and so the labor cost, kind of will continue, and we will also start doing some work in Q3 and Q4 on 2024 assets. So, you'll definitely see some labor preparing The rate will go down, but just to clarify, it's not that we won't have any CapEx spend and we'll have some, it's just going to be much lower than what you saw in Q1.
Andres Sheppard: Got it. Okay. Thanks for clarifying. Maybe my last question. You know, regarding NEVI, I mean, it must be frustrating that we know by now the amount that each state has allocated over the, you know, per each year over the five years. I mean, is there anything that can be done to try to accelerate that process. I know it hasn't obviously rely on - depend on you, but I mean, is there anything that can be done, you know, as an industry or individually to try to accelerate that process? You know, again, given that we have the numbers, it's just a matter of the actual bits being deployed, which sounds like 2024 will be the earliest. You know, just…
Cathy Zoi: Jonathan, you want to take this and we spent a lot of time on this. And as both, you know, Jonathan and I are former government officials in the prior lives. So, we are familiar with the with the toing and froing, but maybe what would you say?
Jonathan Levy: Yeah. It's a good question, Andres. I think first of all, I don't want to give [shift] [ph] to the states that have moved. Right? There are a couple that have and we've submitted applications to a number of the states that have already opened, including some states that moved, you know, really promptly ahead. But you have to keep in mind that there isn't one NEVI program. There are these 50 individual NEVI corridor program.  So, each state gets to decide the specific parameters and the federal government was a bit delayed on finalizing their technical minimum standards, as well as the Buy America guidance, which meant that some states that may have otherwise been ready to go, they were then having to revise their plan or make other adjustments. And so, we're expecting more to come.  So, there are still some states that we think will make awards in 2023, but the question is, when do the projects go? You're on reimbursements for most of those types of programs. So, the funding, as Cathy and Olga have said, we expect the bulk of that to be 2024 and beyond. So, what we can do about it is continue to engage with them both directly on a state DOT level, as well as through organizations like AASHTO, The American Association of State Highway and Transportation Officials organization.  And that's what we and our policy team continue to do working both with the whole industry and directly to make sure that they have our best practices from Connect [the was] [ph] and other ways to know, here's a great way to run these programs. As Olga has said, we've been in the grant game for a long time.  Whether it's NEVI, the California grants that we announced last quarter or earlier this year rather, or the utility [make ready] [ph] programs that are all important opportunities for funding. All of those will continue and the timing will be a little bit of an ongoing thing that we have to keep incorporating.
Andres Sheppard: Got it. Okay. Thanks, Cathy. Thanks, Olga. Thanks, Jonathan. Congrats on the quarter again. I'll pass it on. Thank you.
Cathy Zoi: Thanks, Andres.
Operator: And our final question will come from [indiscernible]. Your line is open.
Unidentified Analyst: Hi. Thanks for taking my question. Just curious in an update on the EVgo renew program and sort of upgrading those older 50 kilowatt chargers, kind of , where are we at in that process?
Cathy Zoi: Yeah. We've got the program is underway, and we're going to be upgrading hundreds of them over the course of the year, and the program is on track. I mean, and what we're doing as well as we're actually integrating some communications efforts into EVgo renew so that – what we've discovered is that sometimes the chargers are, I thought that sometimes there's an opportunity for driver education on how to actually make the charging work more effectively. So, the program is becoming all-encompassing as I think I described last time. And it's on track, it's on track. We, you know, we've got a few hundred that we're going to be doing over the course of the year.
Olga Shevorenkova: Yeah. And I would like to add that as of the end of the first quarter as a result of renew efforts and as a result of us continue to deploy high power charges, [low as 50s] [ph], for the first time were less than half of our network. So, we could already clearly receive in the numbers as well that the efforts bear the fruit.
Unidentified Analyst: Okay. And then any color and just in terms of, like, CapEx for this year associated with that program, just kind of ballpark? 
Olga Shevorenkova: We do not give guidance on that number, but it should be higher, quite a bit higher than what we reported last year for that.
Unidentified Analyst: Okay. Thank you.
Operator: At this time, I will turn the call back over to Cathy Zoi, CEO for closing remarks.
Cathy Zoi: Well, thanks everyone. Look, EVgo had a great first quarter 2023. Our strategy is showing the early proof points that it's working with throughput growing massively and it's exceeding EV VIO growth and our own stall growth. The outlook for EVgo and the opportunity for fast charging in the U.S. is getting better and it's faster. We believe our business is on a trajectory to scale rapidly and deliver really nice returns, and we look forward to speaking with you again next quarter about the progress. Thanks, everyone.
Operator: This concludes today's conference call. You may now disconnect.